Operator: Welcome to Workday's Third Quarter Fiscal Year 2022 Earnings call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the call. During the Q&A, please limit your questions to one. With that, I will now hand it over to Mr. Justin Furby, Vice President of Investor Relations. Thank you, sir. You may begin.
Justin Furby: Thank you, Operator. Welcome to Workday's Third Quarter Fiscal 2022 Earnings Conference Call. On the call, we have Aneel Bhusri and Chano Fernandez, our co - CEOs, Robynne Sisco, our co-President and CFO, and Pete Schlampp, our Chief Strategy Officer. Following prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. Before we get started, we want to emphasize that some of our statements on this call, particularly our guidance, are based on the information we have as of today and include forward-looking statements regarding our financial results, applications, customer demand, operations, and other matters. These statements are subject to risks, uncertainties, and assumptions, including those related to the impacts of the ongoing COVID-19 pandemic on our business and global economic conditions.  Please refer to the press release and the risk factors in documents we file with the Securities and Exchange Commission, including our 2021 annual report on Form 10-K and most recent quarterly report on Form 10-Q for additional information on risks, uncertainties, and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Workday's performance. These non-GAAP measures should be considered in addition to and not as a substitute for, or in isolation from GAAP results.  You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results in our earnings press release and on the investor relations page of our website. The webcast replay of this call will be available for the next 90 days on our Company website under the investor relations link. Also, the customers page of our website includes a list of selected customers and is updated monthly. Our fourth quarter quiet period begins on January 16, 2022. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2021. With that, I'll hand the call over to Aneel.
Aneel Bhusri: Thank you, Justin. And good afternoon, everyone. Thank you for joining us today for our third quarter fiscal year '22 earnings call. I'm pleased to report that Workday had another strong quarter. As we highlighted at our Analyst Day in September, we continue to expand our addressable market with a broadening product portfolio and multiple go-to-market levers to drive sustainable growth on our path to $10 billion and beyond. As we've discussed throughout this year, our expectation has been for accelerating growth. While not every expectation comes to fruition, this one certainly has even faster than we expected. And we are optimistic on the momentum we see as we head into our all-important Q4 and prepare for a great year in fiscal year '23, Robynne will provide more details shortly, but we are pleased to provide a preliminary view of 20% subscription revenue growth for next year.  And with continued execution, we'd like to see opportunity grow even faster. Before I hand it off to Chano to provide details on our go-to-market success in Q3, I want to quickly touch on the highlights from the quarter. Starting out with our industry leading Workday HCM products, we had another strong quarter as we continue to attract new customers and also having strong success growing our relationship with our existing customers. In Q3, we added AS The Stores, Ltd., ConocoPhillips, Northern Trust, Toll Brothers, and Vishay Electronic, among many other new HCM customers [Indiscernible] lives in Q3 included the State of Iowa and Five Below to name a few. In addition to the strong growth from core HCM, our recently acquired Pecan Solutions, newly named Workday Pecan Employee Voice delivered another record quarter.  We're seeing the benefits having recently rolled-out Pecan globally across our own organization and we couldn't be more excited about the long-term potential to help our customers better listen to and engage with their own employees. We also continue to see strong traction across our financial management suite of applications. Our growing product portfolio, combined with digital acceleration in the office of the CFO is driving broader adoption of our financial management applications. To that end, new workday financial management customers in Q3 includes the City of Philadelphia, the World Health Organization, Wind Trust, Memorial Health Care, and Diversified Restaurant Group.  Of course, one of the big drivers behind our continued strong customer adoption is our relentless focus on innovation by staying at the forefront of large trends that are circular drivers of future growth. One trend that has been accelerated by the demands of the pandemic is the future of work, which requires new ways of thinking about workforce composition and how to manage different types of workers. We expect to accelerate our efforts in this area with the proposed acquisition of VNDLY, a leading next-generation cloud-based vendor management solution platform. Workday and VNDLY together will deliver a comprehensive total workforce optimization solution that brings an integrated approach to managing all types of workers.  We'll help customers bridge the gap between internal and external workforce management while enabling a holistic workforce strategy that delivers full visibility into entire workforce and managing and planning for labor needs, while also helping to control compliance and security risks. We look forward to expanding our efforts in this area, and we'll share more information after the deal closes, which we expect to occur in our fourth quarter. Looking ahead to fiscal year '23 and beyond, we have an amazing growth opportunity in front of us, and we see unique opportunity to accelerate our path forward by further ensuring that our purpose, strategic vision, and pride roadmap are in lockstep with our go-to-market strategy.  To help us do that, we've announced a series of important organizational updates. The first 2 in late October and 2 more today that I'm excited to share with you. To help chart and further articulate Workday's strategic vision, Pete Schlampp has been appointed as our first ever Chief Strategy Officer. Pete has successfully led our industry-leading product organization for the past 2 years. During that time, he implemented a robust product portfolio strategy that's contributed to our current momentum, both in terms of delivered innovation and financial success. His ability to set a strategic vision and execute makes him the perfect fit for this new role, overseeing and evangelizing our growth strategy going forward. Second, we are creating tighter alignment across our product and technology organizations under the leadership of Sayan Chakraborty, who is now EVP of Product and Technology.  Under Sayan's leadership the past 2 years, the technology team has infused Workday with game changing innovations like machine learning, enable customers and partners to innovate in our platform with Workday Extend, build strategic cloud partnerships, and helps ensure that Workdays amongst the most reliable, scalable, and secure platforms in the industry. His long and successful track record in delivering industry-leading innovations, along with his deep understanding of customer needs, makes him the ideal leader to map out our combined product and technology path going forward. And earlier today, we announced a couple of more changes. First, we're pleased to share that Doug Robinson, EVP of Global Sales, as we promoted to co-president of Workday. Doug will serve as co-president alongside Robynne Sisco. As co-president, Doug will continue to lead our global sales organization, but also take on an expanded leadership role across the Company, helping to spearhead cross-functional initiatives that will hope Workday reach new heights.  And finally, we're also happy to share that Barbara Larson, SVP of accounting, tax and treasury, is being promoted to Chief Financial Officer effective February first of next year, reporting to Robynne. The transition of the CFO role from Robynne to Barbara is part of Workday 's strategic succession planning, an approach that focuses on developing leaders from within. Barbara has been a rising star since joining Workday more than 7 years ago. During the time, she has held several leadership positions across our finance and product organizations, providing her with the right foundation to step into the CFO role and lead our finance organization into the future. With Barbara's move to CFO, Robynne will now focus more on her Co-President responsibilities. This will include an increased emphasis on engaging with some of our most strategic FINS customers and prospects to increase Workday's footprint within the office of the CFO, in addition to continuing to lead her current organization.  It's an exciting time to be at Workday and we're looking forward to the impact Pete, Sayan, Barbara, Doug, and Robynne will continue to make as we all strive to aspire a brighter Workday for all. As I look ahead, my optimism for Workday's future couldn't be higher. We have a great team in place and a significant global opportunity in front of us as companies continue to embark on their HR and finance transformation journeys. With that, I'll turn it over to our Co-CEO, Chano Fernandez. Over to you, Chano.
Chano Fernandez: Thank you Aneel and thank you to everyone for joining us today. I want to start by offering my congratulations to Pete, Sayan, Barbara and Doug. You're all amazing leaders and fantastic colleagues who have worked tirelessly to push us forward as a Company, and your promotions to these roles is incredibly well deserved. As Aneel mentioned, we delivered a solid Q3, driven by a strong execution combined with healthy demand for financials and HCN solutions. The strong conversion rates that we experienced in the first half of the year continued in Q3, driving net new business acceleration that once again outpace our expectations. In addition, our pipeline generation remained very healthy, setting us up incredibly well to achieve our full-year acceleration targets and providing incremental confidence in our goal of sustaining 20% plus subscription revenue growth on our path to $10 billion in revenue.  Strength in Q3 was once again broad-based with solid growth in landing new core HR and FINS customers. Performance in North America remained strong across the large enterprise, while the medium enterprise and international markets both drove significant outperformance. EMEA was a highlight with outstanding results in the UK, Spain, and Switzerland. In addition to solid performance from our land sales team, the momentum within our customer base team continued in Q3, driving continued strength in net revenue retention. We once again saw a very strong renewal performance and our customer base team drove strength, cross selling a number of solutions aimed at the CHRO and CFO, including coffins, learning people analytics, planning and spend management.  We were also excited by the strength that we saw with Peakon, which has been part of Workday now for a couple of quarters and which drove record performance, including the signing of its largest ever deal. Customer base expansions with Peakon in Q3 included Banco Santander, [Indiscernible] North America, a new Peakon first customer, including Holland & Barrett and S3. [Indiscernible] had another fantastic quarter with wins Bristol Myers Squibb, Carbonell Health [Indiscernible] stores and U.S. Foods. Not only does the extensibility of our platform help us go deeper with our customers, but it also allows us to engage our partner ecosystem in very [Indiscernible] ways.  A great example of this is through our partnership with [Indiscernible] who built an emissions planning model in Workday adaptive planning to address critical sustainability objectives related to carbon reduction for governments in Asia-Pacific. This ESG solution has global applicability and is one of several examples of partners adding their IP to enhance the value of the Workday platform. Our industry approach is winning the market and strengthening our government vertical was one of the many highlights in Q3. As Aneel mentioned, we were selected by the City of Philadelphia for financial management in addition to planning [Indiscernible], spend management, and several other solutions.  We also signed platform HCM FINS deals with the City of Worcester, Massachusetts and the county of Mobile, Alabama. And we had wins across a number of other states, city, and local governments, both in the U.S. and internationally. Successes such as this highlight the importance of taking an industry approach. And we expect to continue to make significant investments across key industries from both a product and go-to-market standpoint. As we've discussed throughout this year, we're investing aggressively in our go-to-market effort. And we made continued progress on this front in Q3 adding global sales capacity across both our [Indiscernible] and customer base teams. We're also accelerating our investment across key brand marketing initiatives.  These investments, which we expect will continue in Q4 and into FY23, our focus on sustaining 20% plus subscription revenue growth. In closing, I would like to thank the more than 14,200 global workmates who have enabled us to drive such strong Q3 and year-to-date results. We are very well positioned as we enter all important fourth quarter. And we have our eyes set on record pipeline generation targets, as we look to lay the foundation for a strong FY23. And now I will turn it over to our Co-President and CFO, Robynne Sisco. Over to you, Robynne.
Robynne Sisco: Thanks, Chano and good afternoon, everyone. First, I'd like to say that I could not be more excited about the leadership changes and I'm incredibly proud to share the President title with Doug and to pass the CFO mantel to Barbara. I look forward to continuing to partner with both of them. As Aneel and Chano mentioned, we reported a strong third quarter, once again accelerating subscription revenue growth as organizations across the globe look to Workday as their strategic partner in driving their HR and finance digital transformations. Subscription revenue in Q3 was $1.17 billion, up 21% year-over-year, driven by healthy new business sales and strong customer renewals with gross retention, once again, over 95%. Professional services revenue was $156 million, resulting in total revenue of $1.33 billion.  Revenue outside the U.S. was $336 million, up 23% year-over-year, and representing 25% of the total. 24 months backlog at the end of the third quarter was $7.12 billion growth of 20%. Total subscription revenue backlog was $10.97 billion, up 24%. Our non-GAAP operating income for the third quarter was $332 million, resulting in a non-GAAP operating margin of 25%. Margin over achievement was driven by a combination of top-line outperformance, some favorable expense variances, and significantly more back-end loaded hiring in the quarter than we anticipated. Operating cash flow in Q3 was $385 million, growth of 31%, driven by the margin strength combined with very strong collections.  Our largest investments continue to be in our people and then attracting top talent to Workday. In the third quarter, we meaningfully ramped up the pace of hiring, successfully adding and integrating approximately 800 net new employees, bringing our total employee count to over 14,200 at the end of Q3. Overall, we're extremely pleased with our results and execution in Q3, and we're very well positioned as we enter our final quarter of the year. Turning now to guidance. Based on our strong Q3 and the continued momentum we're seeing in our business, we are raising our FY '22 outlook and providing Q4 guidance as follows. For subscription revenue, we're raising our full-year estimate to be in the range of $4.533 billion to $4.535 billion, approximately 20% growth.  For Q4, we expect subscription revenue of $1.216 billion to $1.218 billion, 21% growth. And we project 24-month backlog growth of 19.5%. We still expect professional services revenue to be $590 million in FY22 with $145 million in Q4 as we continue to prioritize driving the highest levels of customer success. Based on our Q3 outperformance, we now expect full-year FY2022 non-GAAP operating margins of 22%. For Q4, we estimate non-GAAP operating margins of 16% as we continue the pace of hiring and growth investments and begin our new performance cash bonus program in Q4. The GAAP operating margin is expected to be lower than the non-GAAP operating margins by approximately 24 percentage points in Q4 and for the full year. We are updating our FY22 guidance for operating cash flow to $1.65 billion, growth of 30% and we still expect $270 million of other capital investments in FY2022 to support our customer growth and continued business expansion.  While we are early in our FY23 planning cycle and have an important Q4 to close, we'd like to provide a preliminary and high-level view of FY23. We currently expect subscription revenue of approximately $5.44 billion, growth of 20% year-over-year. We expect subscription revenue in Q1 of FY23 to increase approximately 2.5% sequentially from Q4, FY22. As we shared in our recent Analyst Day, we are focused on driving sustainable subscription revenue growth of 20% or higher on our path to $10 billion in revenue. Given the strength of our market position and the accelerating trends we see across HR and finance digital transformation, we expect to increase the pace of our top-line focused investments.  Taking into account these investments, our expectation of COVID -related cost-savings saving out, and the full-year impact of our new bonus program, we continue to expect FY23 non-GAAP operating margins of 18%. Investing for growth will remain our focus and we'll continuously evaluate gross margin trade-offs. But we currently expect to resume margin expansion after next year, putting us on a path to reach 25% margins at $10 billion in revenue. I'll close by thanking our amazing employees, customers, and partners for their continued support and hard work. With that, I will turn it over to the operator to begin Q&A.
Operator: At this time, we'll be conducting a question-and-answer session. [Operator Instruction] Please limit yourself to one question. One moment while we poll for questions. Our first question comes from the line of Kirk Materne with Evercore ISI. You may proceed with your question.
Kirk Materne: Thanks very much and congrats on the quarter and congrats to everyone on their promotions. Aneel and Chano, first of all, thank you all for the preliminary look ahead to fiscal '23, but Aneel and Chano, could you just talk a little bit more about what you're seeing in the pipeline today that gives you confidence in that 20% plus outlook for subscription revenue growth? Just curious if it's the volume of deals you're seeing in the pipeline pick up, the size of deals, and maybe if you could just add a little color on the core financial opportunities as well, that'd be great. Thanks so much.
Aneel Bhusri: Chano?
Chano Fernandez: Yeah. And Kirk, thanks for your question. I think not only did we see a strengthening in Q3 new business, but the pipeline momentum that we have described the last several quarters continued as well, with the strength, I would say, across regions and solutions as well. And I think it's a much more balanced and predictable pipeline when compared to a few years ago, as our product portfolio has expanded, and as we have seen really healthy momentum across both motions, landing and expanding. So, we have our sights set on another record pipeline quarter in Q4 to help lay out the foundation for a solid FY23 and beyond. The trends, we're seeing our pipeline support our view that the momentum in the business is sustainable and support our goal of sustaining 20% plus subscription revenue growth. In terms of core things, it was really a contributor to the strong quarter. We have both core fins on the fins last category as a whole, Kirk.
Kirk Materne: That's great. I guess just a quick follow-up for Robynne. Robynne, is the 24-month backlog number still being weighed down by a lower renewal cohort and can you just remind us of what that is and maybe when that normalizes, if that's still playing out right now?
Robynne Sisco: Yeah, Kirk. So, as you recall, coming into this year, we discussed a couple point headwind to 24-month backlog growth this entire year, stemming from the flattish renewal base that we saw coming into the year. For the most part, that's played out as we thought, although our really strong renewal rate s throughout the year have somewhat offset that dynamic to give us the results that we've been reporting to-date on this front. When we look ahead to FY23, we are expecting to return to a more normalized rate of growth in the renewal base and therefore, expect that that headwind goes away.
Kirk Materne: Super. Thanks so much. Congrats.
Operator: Our next question comes from the comes from the line of Kash Regan with Goldman Sachs. You may proceed with your question.
Kash Regan: Hi. Thank you very much. It's great to see how you promote internal talent, starting with the -- Doug, it's a very long list, and it's great that you were able to create the next generation of management, including Chano, and Barbara, and Robynne, etc. And my question has to do with net new ACV back to the base. We've been on it for two years, and there's no stopping of any -- no slowing down of momentum in that business aspect. Can you talk, either Chano or Aneel, about the opportunities ahead? As the product portfolio continues to build -- And you still keep adding new customers, but again, the bass opportunity continues to be vibrant. Can you just expand a little bit more about how you plan to make it even more of a focus going forward? Thank you so much, and congrats on a very strong quarter.
Aneel Bhusri: I might just touch on the new products and Chano can touch on the go-to-market piece. I think one of the great things we have had, both through internal development and through acquisition, most recently Peakon, and now Bentley, are products that we can sell back to our really broad-based financial HR customer base. And on the finance side, we do the same thing with Scout. And we hope to do that with Zimit, and planning's been across both product lines. That really has changed the game. We have these really powerful add-on products that are best-in-class, that are attractive to customers and maybe Chano can talk about how we're doing that.
Chano Fernandez: Yeah, thank you Kash, and thank you, Aneel. I think the value proposition of the innovation and the solutions that Sayan and Pete and the team are building is just fantastic, and I would say it's no single solution is the one driving the momentum, Kash. It is really broad base strength across the full portfolio of HR and financial solutions. And I think that drove strengths as well in the renewal rates and our customer base, which I believe it speaks to how strategic we are for our customers. So, we are expecting this momentum to continue, and we share with you on our Analyst Day that 10 billion opportunity that we see in our customer base and of course, expanding as we keep adding more customers. And we keep planning to keep adding some of the investments that we're doing across go-to-market, Kash, those going to customer base obviously, and as we've been highlighting, we are planning to strengthen for next year the land motions, clearly of solutions around Pico, and work the extra resourcing planning, and credibility, going forward as well. So, we are pretty excited by the opportunity ahead on the customer base.
Kash Regan: Bravo. Thank you so much.
Operator: Our next question comes from the line of Mark Murphy with JPMorgan. You may proceed with your question.
Mark Murphy: Yes. Thank you very much. And I'll add my congrats to everyone who is taking on a new role, Doug, Barbara, Pete, and Sayan. Much deserved. I wanted to ask Robynne, I'm looking at the sequential change in the 24 months subscription backlog for Q3. It's actually a bigger number than we've seen the last couple of years. So, I'm just curious if what we're seeing is the conversion of that pipeline build that, I think you've said was starting maybe 9 to 12 months ago as you expected or are you seeing something that's converting faster or in period from Peakon or other products, or is it maybe something else that's driving that sequential strength?
Robynne Sisco: Yeah, Mark. I will just point out a few things even though we really are seeing strength across all of our business in multiple different ways but the few things that I'll call out is our conversion rates have remained on the higher side. And so that has certainly helped us convert more pipeline. We also, as we strengthen our sales motion on some of our acquired companies are products that we can sell independently; those tend to have shorter cycles and so we're seeing an impact there as well. And then lastly, we just have seen really strong renewals. Really strong renewals had uplift to those renewals and so that has really helped us with sequential growth in backlog as well.
Mark Murphy: Okay, so three different legs to the stool. Thank you, Robynne. And then just a very quick follow-up. You had announced a major new HCM logos. I think Aneel commented on ConocoPhillips, their trusted Toll Brothers, big companies. Any comments on who the incumbents were and just trying to -- You said the pipeline generation remained healthy. Should we infer that you see pretty strong indications among the Fortune 500 for Q4?
Chano Fernandez: I would say on your first question within [Indiscernible] where usually 80% of those are coming from our main two legacy competitors, and is no difference here, Mark. To your question on the pipeline expecting into Q4, I would just say that there is good strong pipeline, great momentum. Usually some of the largest logos tend to lean in our largest quarter, which is Q4.
Mark Murphy: Understood. Thank you very much.
Operator: Our next question comes from the line of Brad Zelnick with Deutsche Bank. You may proceed with your question.
Brad Zelnick: Great. Thank you so much and I echo my congratulations as well on a strong performance in Q3. I wanted to follow up on Kirk's question on backlog and the flat renewal cohort this year and just how we should think about the growth in what's due to renew which Robynne, I know you characterized as being more normal. But even if not numerically, and I know the more exciting part of that equation is what you're going to -- the growth that you're able to add onto these renewal opportunities and expand them. But how should we think about the typical up-sell cadence, meaning how often might you see customers [Indiscernible] new modules and new features and capabilities when they're made available, maybe intracycle versus upon renewal. Like is the renewal itself more often than not the time that you'll see them expand versus co-terming mid-term. Thank you.
Robynne Sisco: Yeah. We're seeing that dynamic shifts a little, Brad, over the years as we focused more on building the customer-base team. They're having continuous conversations with those customers outside of the renewal cycle, so where if you go back several years, I think 3 to 4 years, most of the add-on business came during the renewal cycle, and we've really seen that change with the investments and the back-to-base go-to-market. And now those conversations are continual. So, we're seeing a lot less add-on just in the renewal cycle and more add-ons just as products become available or as customers need shift. But the renewal is still a great opportunity to engage in a conversation with those customers. So, it's still as an opportunity for us to sell, but less dependent on that renewal cycle to actually get add-on business. And I don't know, Chano, do you have anything you would add to that from a go-to-market side?
Chano Fernandez: That's exactly the dynamics we've been seeing and the shift we've been serving during these last few years. So, it's less depending on those renewals cycles when customers are on adding new solutions.
Brad Zelnick: Thank you. If I could maybe sneak in one quick follow-up for you, Robynne. Seeing the growth and total backlog exceeding that of 20 months for a month backlog, we actually had picked up from partners, just in general, beyond even Workday, customers looking to go longer and longer duration in anticipation of inflation and price increases. Just curious if you have any comments on duration that you're seeing from maybe commercial accounts, I know government tend to do larger deals. What, if anything, is there to comment on duration? Thank you.
Robynne Sisco: Yeah, you're absolutely right that when the total backlog growth exceeds the 24 months, it's because we've seen durations lengthen and we've seen this fairly consistently over the last several quarters, and even the last several years, where the total outpaces the 24 months so I do think that there is a trend there of inking larger contracts, but they do tend to move around by industry and by customer and as we've said before, we are happy to have a contract length that our customers are comfortable with. We won't do 1 under 3 years but any anything above that, we really leave to them. So, it's not something that we manage to, but we're certainly happy when customers want to commit to us for longer periods of time.
Brad Zelnick: Awesome. Thank you again.
Operator: Our next question comes from the line of Brad Sills with Bank of America. You may proceed with your question.
Brad Sills: Great. Thanks, guys. And I'll echo the congratulations on a nice Q3. I wanted to ask a question about just the general environment of the office of HR. It would seem that with the great resignation and a difficult hiring environment that you'd see an increased focus on digital transformation projects for more productivity in general for HR. So, I'm curious if that is manifesting in your pipeline, not just for core HR -- core HCM, but the productivity tools like learning, analytics, recruiting, Peakon. Is that reflected in your pipeline? Do you think that's something that might be coming based on what you're hearing in the office of HR? Thank you.
Aneel Bhusri: Pete, you want to take that one up?
Pete Schlampp: Yeah. I think your question is spot on. What we are seeing, the trends towards, as you said, spurred by the great resignation happening with the pandemic. All of those things are generating trends that we're seeing in demand from our customers for our products like learning. I would also put -- I'd also call out our talent optimization skew, which is composed of the career hub and the talent marketplace to allow employees to move within the Company learning, as I said before. And also, I'll also mention the VNDLY intend to acquire that we announced today as well, which allows companies to be able to flex their workforce based upon these talent demands. So, we're definitely seeing that from a demand standpoint from our customers. And we've had great quarters -- a great quarter this last quarter as well with all those products.
Brad Sills: Yeah. Thanks so much.
Operator: Our next question comes from the line of DJ Hynes with Canaccord. You may proceed with your question.
Dj Hynes: Hey, thanks for taking the question. Maybe I could build off Pete's comments that you brought up VNDLY, so it seems like a god segue to ask a question there. The product seems to be kind of a crossover between HR and finance. So, can you talk a little bit about where the buying center resides there and really what the pain point is? How would organizations typically manage that process if they didn't have a platform like VNDLY?
Pete Schlampp: I'll start with the buying center. The buying center is -- has traditionally been in the procurement space but has more recently been trending towards the HR space. So actually, that was a great fit for us because we sell to both of those buyers. And it really, for us, looked like a nice piece of the puzzle between our human capital management, our financial management, and our spend management solutions. Traditionally, this has been solved -- the better management of systems have been around for a while. VNDLY is really a second-generation cloud-based vendor management system. Great focus on the user experience configurability. And the one thing I will also mention there is that it is deployed by Enterprises, but also about 50% of time deployed by managed service providers. And VNDLY happens to have a great relationship with managed service providers as well. And we see that as a channel for us to continue to use as we go forward.
Dj Hynes: Yeah. Okay. Makes sense. And then Robynne, maybe a follow-up for you. I think coming into this year, we had talked about those new bookings acceleration this year leading to faster subscription growth next year. With the updated guide and view of next year, we're at 20% and 20%, and I realize it's a preliminary view of next year and any good preliminary view embeds some conservatism, but is it fair to assume that if Q4 ends up how you're planning, we could still see subscription acceleration next year?
Robynne Sisco: Yeah. DJ. We certainly see upside from the 20%. But to your point, Q4 is going to be a really important quarter for us in shaping the subscription revenue next year. So, we're really focused on executing against Q4, and we'll have a new look for all of you on the next earnings call when we see how we've close Q4.
Dj Hynes: Yes. Of course. Makes perfect sense. Thank you, guys.
Operator: Our next question comes from the line of Michael Turits with Wells Fargo Securities. You may proceed with your question.
Michael Turits: Hey, there. Thanks. Good afternoon. Appreciate you taking the question. You mentioned 800 net new hires during the quarter. Is there any further commentary you can add just on the pace of hiring into Q4? Are you finding able to stay on pace with that 2500 target to start off the year? And is there any difference between U.S. and international there to call out? Thank you.
Robynne Sisco: And we were super pleased with the hiring in the quarter. We've been really ramping our recruiting engine and our process throughout the year. It honestly took us a little longer than we had hoped given the market when we came into the year. But we're really excited to make such great progress in Q3, and it's certainly our hope and our goal to actually have similar hiring in Q4, so that we can get really close to that 2500 net new employees for the whole year. It's a challenging market, but we feel like we've got the momentum to do that and so we're really focused on executing.
Michael Turits: Great. Thank you.
Operator: Our next question comes from the line of Brad Reback with Stifel. You may proceed with your question.
Brad Reback: Great. Thanks very much. Robynne, as we think about the renewal pool returning towards its normal growth cadence next year, is that linear over the course of the year or will that be somewhat more back -end loaded, understanding that 4Q always has seasonality, but just that year-over-year growth opportunity.
Robynne Sisco: Yeah, Brad, that's a really hard thing to predict because one of the things that we're seeing, one dynamic we're seeing as we have more add-on business outside renewal cycle is renewals moving around quarter-to-quarter. So, if somebody wants to add on several products, their renewal's 2 quarters away, it's highly likely that are just going to do an early renewal and wrap it all-in. So, we don't see anything unusual and any one quarter that I would call out, but it is a dynamic that's fairly difficult for us to predict, and we do expect some variation quarter-to-quarter. But overall, in terms of looking at the whole year, we're excited to return to a normal growth rate and obviously seeing the headwind that we faced this year.
Brad Reback: That's great. Thanks very much.
Operator: Our next question comes from the line of Brent Bracelin with Piper Sandler. You may proceed with your question.
Brent Bracelin: Good afternoon and thank you. I wanted to go back to the '22 outlook and guide up here. I know you guys were clearly optimistic at the September Analyst Day, but if I just rewind nine months ago, I think you entered the year guiding to 16% subscription growth. You've now had two quarters of accelerating subscription growth, and you're raising the outlook for next year. It's a pretty big change in 9 months. Is the story here driving the optimism for next year all about the $10 billion cross-sell in the base? Or are there other factors that are really driving kind of the optimism here in the business? And I know some optimism to a couple of months ago but love to kind of understand the pace of change that you've seen here this year and momentum that your kind of looking forward to next year. Thanks.
Aneel Bhusri: Well, I said the pandemic was a once in a lifetime event and in many ways, quite a bit obviously sad and negative. On the business side, it did change everything. Whether it's the shift to remote work or hybrid work, or as you look at the broader base of contingent workers and the great resignation as you call it. And I think what it forces d customers to do was to look at their platforms and say, are we ready for this new world? And in many cases, they weren't. And we were fortunate that the way that we built our cloud products and the solutions we have are a perfect fit for where the world is headed, and I think we're benefiting from that.  And increasingly in a labor constrained world, what we're doing with Peakon, what we're doing with VNDLY, what we're doing with our own products in terms of helping people optimize their human capital is huge. And also, during the pandemic we saw a lot of big financial projects being put on hold, and now those are slowly coming back. So, there's optimism that even more of the financial products are going to be coming back -- financial projects should be coming back next year.
Brent Bracelin: As you think about the role of competition here, do you think you're in a better position to gain share next year based on the moves that you've made here and that's part of the optimism, or do you think this is more of a broader industry recovery that you're expecting next year? That's all I had. Thanks.
Aneel Bhusri: I think it's both. At the end of the day, we started out with 0 customers and our main competition had thousands of customers. So, every customer we've gotten has been at a competitor's expense. And we've now passed 50% market share on the HCM side of the Fortune 500. We're getting that same kind of momentum in financials. And I do think it's coming at the expense of what I would consider to still be legacy competitors. I don't think they've quite yet fully made the transition to the cloud.
Operator: Our next question comes from the line of Brent Thill with Jefferies. You may proceed with your question.
Brent Thill: Thanks. I was wondering if you could just drill a little bit in the planning, and I think last quarter you mentioned 50% ACV growth. Any stat or any update there? And just directionally, it seems like with all the supply chain concerns, there's a tremendous opportunity for you to help a lot of companies out at this point. Any color around that business would be greatly appreciated.
Chano Fernandez: Planning continues to be a very meaningful growth driver for us. A lot of the bigger components [Indiscernible] and the acceleration we're seeing this quarter. While we you do not call out the specific growth rate this time, our momentum remains very strong. We feel really good how we are competing and winning in this market. And despite all the strength we have seen in planning over the last couple of years, we have significant long-term opportunity. We shared at our Analyst Day, only about 30% of our customers having attached financial planning, and about 10% attached work force planning. So, we have a lot of opportunity ahead.
Brent Thill: Thank you.
Operator: We will now take two more questions. Our next question comes from the line of Karl Keirstead with UBS. You may proceed with your question.
Karl Keirstead: Thank you. Maybe a couple for Robynne. Robynne, maybe you could elaborate on the 24-month backlog guide for 4Q. Really strong number, but it's a similar growth rate to 3Q, yet it's a 2-point easier compare. Anything else on your mind as you thought through the inputs to that 4Q guide.
Robynne Sisco: Yeah. I would just say that we're really pleased to be providing the preliminary view of 20% sub revenue growth for FY23. But keep in mind to achieve that, we need to sustain healthy bookings growth, which we fully expect to do in Q4. Backlog is going to move around; it's not a perfect measure for several reasons, including the renewal headwind this year. But we feel really good about the momentum in our business and in our outlook. And we certainly would hope to overachieve the backlog guide, but we'll have to see how Q4 goes.
Karl Keirstead: Okay, that sounds good. And then as a follow-up, congrats on a couple of what looks like relatively small acquisitions. Maybe I missed it, but Robynne, any financial impact from these 2 deals once they close that we should keep in mind with respect to either revs or margins or backlog to call out or immaterial?
Robynne Sisco: Yeah. These companies are both really early in their growth cycles and therefore, really minimal impact on our revenue guides for next year. We do, however, expect those to be high-growth markets. And so, we're therefore planning on investing in those spaces to support the growth opportunity and all those incremental investments, as well as transaction costs for VNDLY and existing expense basis for both have all been captured and our margin guidance for both Q4 and FY23.
Karl Keirstead: Got it. I figured that was the case. Thanks for the answers, Robynne.
Operator: Our next question comes from the line of Derrick Wood with Cowen and Co. You may proceed with your question.
Derrick Wood: Great. Thanks for squeezing me in. Some companies have talked about more accentuated summer seasonality. Just curious how linearity track for you in Q3. And then you keep hearing how Q4 is such an important quarter. Any color on linearity there and just any anecdotes to give around what you're seeing in terms of larger enterprise opportunities as you head into the end of the year?
Aneel Bhusri: Chano.
Chano Fernandez: We haven't seen any particular shifts in terms of linearity. I mean, it was good, strong quarter. I mean, clearly, our first month is August. Usually, is more quiet, but it was good and solid if I compare it to last year and two years ago. I think we had a good September, overall, but I wouldn't say nothing, no special call out there. In Q4 -- I mean, there are always very large deals. In this case, in the pipeline, for both, I would say HCM on financials, and of course, there is a solid pipeline across a very deep number, different solutions, geographies and on the whole portfolio, on volume business across medium enterprise and customer base that we get the ability. But clearly for us that delivering a good, solid quarter is keeping with the same conversion ratios and execution on the great large opportunities that are lined up for Q4. So, we're excited about them, but of course we have to execute up on them and basically do as the teams know that they can do.
Derrick Wood: If I could squeeze one more in. You talked about how you're pleased with your own hiring, even though it's a tough market. I want to ask about how you're feeling about your partners and how well staffed they are and to support your accelerating growth, and if you see any reason for them to be having any constraints on their own staffing?
Chano Fernandez: Yeah, can answer that one. We're pleased how the partners are progressing. They added around 800 resources to the ecosystem in Q3, and they continue to be ramping up new resources during Q4. So, we feel very happy as well how much they are investing on training and ramping up its resources at the CV opportunity. I will just remind to all of you that they keep deploying around 80% plus of our solution portfolio. We clearly are doing much more with [Indiscernible]. I mentioned this example of the ESC solution around planning for public sector basically in the Asia-Pacific region that I think is one that they can be deployed globally. So, the relationships we're building with our partners these days is -- beyond implementation, is building out new solutions on [Indiscernible] jointly, and they keep re-investing for most of the larger size where they say out of the top three kind of strategic practices, so we're pleased how they're doing, and they keep investing within Workday's future together.
Derrick Wood: Thank you.
Operator: Ladies and gentlemen. Thank you for your participation on today's conference. This will conclude Workday's third quarter fiscal year 2022 earnings call. Thank you again for joining us today. You may disconnect your lines at this time.